Operator: Good day, everyone and welcome to the Mack-Cali Realty Corporation Third Quarter 2014 Earnings Conference Call. Today’s call is being recorded. And at this time, I would like to turn the call over to President and Chief Executive Officer, Mr. Mitchell Hersh. Please go ahead, sir.
Mitchell E. Hersh: Thank you, operator and good morning everyone. Thank you for joining Mack-Cali’s Third Quarter 2014 Earnings Conference Call. With me today is Tony Krug, CFO and from our Roseland subsidiary Gabe Shiff, Roseland’s Executive Vice President of Finance. On a legal note, I must remind everyone that certain information discussed on this call may constitute forward-looking statements within the meaning of the Federal Securities law. Although we believe the estimates reflected in these statements are based on reasonable assumptions, we cannot give assurance that the anticipated results will be achieved. We refer you to our press release and annual and quarterly reports filed with the SEC for risk factors that could impact the company. As is custom first, I’d like to review some of our results and activities for the third quarter and generally what we’re seeing in our markets. Then, Tony will review our financial results and Gabe Shiff will summarize the activities in our Roseland Platform. FFO for the third quarter of 2014 was $0.48 per diluted share. During the quarter, we signed a total of 621,000 square feet of lease transactions, including approximately 266,000 square feet of new leases. Our tenant retention rate was just under 56% of outgoing space. And with that, we ended the quarter at 83.7% leased, unchanged from last quarter. Rent on our renewals rolled down this quarter by approximately 4.8% on a cash basis, which was significantly less than last quarter 6.3% cash roll down. Remaining lease rollovers for 2014 are just 1.5% of base rent or approximately $7.8 million. Our leasing costs for the quarter were $3.44 per square foot per year on average, which was up a bit from last quarter's $3.21. Clearly, the New Jersey and Westchester office suburban markets in particular remain quite challenging with little in the way of new demand and substantial inventory. Clearly we’re seeing better activity along the waterfront in some of our more urban locations. At Mack-Cali, we remain laser focused on building occupancy within our portfolio, using our relationships with our tenants and the brokerage community to get the message out that we have exceptional assets, or well-capitalized and offer our tenants flexibility to deal with their ever-changing needs. As mentioned on last quarter’s call, we are well along in our $35 million capital reinvestment plan in our office assets, upgrading building systems, HVAC elevators and the like, redoing lobbies and public spaces as well as enhancing curb appeal with new paving landscaping curbing. At Harborside, we’ve begun construction on the $15 million reimagining of the common areas, entrances and public spaces. As previously discussed we are reimagining the original industrial roots of the original section of Harborside to appeal to the ever-changing workplace and the demands of the new TAMI and technology tenants. Additionally, we’ve been very active in building on our highly respected brand in both the office and multi-family sectors through the use of technology, innovation and social media. And now, I’ll discuss some of our recent activities. During the quarter, we completed the sale through joint-venture of seven assets located in New Jersey, New York and Connecticut to key Keystone Property Group as the final component of a larger tri state portfolio disposition. Through this partnership with KPG, Mack-Cali will participate in value creation above certain hurtle rates. We will handle leasing and tenant construction for the properties as well as sharing management fees. In August, we’ve received repayment together with our joint venture partner Winthrop Realty Trust of our investment in the purchase of a senior mezzanine note securing properties and Stamford, Connecticut. Mack-Cali received just under $38 million on our original $32 million dollar investment in this note, representing an approximate 11.25% internal rate of return. We continue to make good progress in our plans to repurpose Curtis Center in Philadelphia with our partner Keystone. In connection with this magnificent asset, we closed a $150 million loan just several weeks ago. On the multi-family front, during the quarter, we acquired the equity interest of our joint venture partner in Overlook Ridge were approximately $16.5 million. And as a result we increased our ownership to 100% of the developable land and acquired an additional 25% for a total now of 50% of our joint venture interest with the UBS in the two multi-family properties located at Overlook Ridge in Malden and Revere, Massachusetts just outside Boston. Speaking of Boston, in a few weeks we look forward to do official ribbon cutting at our joint venture multi-family project Portside at East Pier in East Boston. This newly opened community will feature state-of-the-art amenities, stunning water views, coverage service to the financial district and added toward the key at the Maverick station. This project is the combination of many, many years of planning and hard work with the Boston a governmental officials and Massport in Massachusetts. We look forward to creating in East Boston, what Roseland actually pioneered in Hudson County, New Jersey along the Hudson River Waterfront in Port Imperial. Instruction on our URL multifamily project is on schedule and on budget. We closed a $192 million, 15 year construction and permanent loan with Pacific Light several years ago and the anticipated opening of early 2016, first quarter of 2016 is on target. Now I’m going to turn the call over to Tony, who will review all our financial results for the quarter, but I wanted to make the comment, obviously in the press release you saw that we restated guidance and extended it through 2014, full year 2014 and for the first time, we’re providing guidance for 2015. I note that in many of the analyst notes this morning that preceded this call, some discussion of the guidance for 2015 and I just wanted to make the point that the majority of reduction in what the streak was holding for 2015 versus what we put out today is a result of the Prentice-Hall lease expiration on a 475,000 square foot building in upper saddle river that frankly we’ve been talking about on this call probably for eight or more quarters. It’s part of our repurposing efforts through our Roseland subsidiary. So I just wanted to make that point and now with that Tony, why don’t you take us through the results.
Anthony Krug: Thanks, Mitchell. Funds from operations for the third quarter 2014 was $0.48 per share as compared to $0.57 per share for the same quarter last year. For the third quarter 2014, net income available to common shareholders was $0.02 per share as compared to $0.05 per share last year. Same-store net operating income decreased by 3.3% on a GAAP basis and 4.1% on a cash basis for the quarter. Our same-store portfolio at quarter end was 25.3 million square feet. Our unencumbered portfolio at quarter end totaled 207 properties and represents 78% of our portfolio on an NOI basis. At quarter end, Mack-Cali's total undepreciated book assets equaled $5.7 billion and our debt-to-undepreciated assets ratio was 39%.The company had interest coverage of 2.8 times and fixed charge coverage of 2.3 times for the quarter. We ended the quarter with approximately $2.2 billion of debt with a weighted average interest rate of 5.62%. Currently we have nothing drawn on our $600 million unsecured revolving credit facility. We have narrowed our FFO guidance for 2014 in a range of $1.72 to $1.76. And based on our current plans and assumptions, we are providing initial FFO guidance for 2015 in the range of $1.62 to $1.82 per share. At the midpoint, our guidance for 2015 assumes percentage lease declining from 83.7% at year-end 2014 to about 81% by mid 2015 and then up to about 82% by year-end 2015. Same store net operating income is expected to decrease by about 8.6% on a cash basis and 7.4% on a GAAP basis. We assume no assets sales or operating acquisitions for 2015. We estimate multi-family development – pardon me -- we estimate multifamily development spending of Mack-Cali’s equity to be approximately $103 million in 2015, primarily for the funding of multifamily joint venture developments. Please note that under – excuse me, under SEC Regulation G concerning non-GAAP financial measures such as FFO, we are required to provide an explanation of why we believe such financial measures are relevant and reconcile them to net income. Available on our website at www.mack-cali.com are our supplemental package and earnings release, which includes the information required by Reg G, as well as our 10-Q. Mitchell?
Mitchell Hersh: Thanks, Tony. I'm going to turn the call over to Gabe Shiff, who is going to provide details of our activities both in what we’re doing with our stabilized assets in the Roseland platform or development activities in a little bit about our repurposing. I want to make the comment that our teams have worked very long and hard certainly over the last couple of quarters but I hope it’s reflected in this quarter supplemental to provide clear crisper more succinct information regarding what we’re doing in the multifamily platform, what our expectations are in terms of yield on our developments and cost and yield on the repositioning dollars that we’re reinvesting into our assets. So with that Gabe, take it away.
Gabe Shiff : Thank you, Mitch. Today two years since Mack-Cali’s acquisition of Roseland, we are proud to reflect continued cash flow and value creating growth throughout the residential platform. The sources of set growth have been strong rental rates and occupancies on our operating portfolio, high velocity lease on our construction completions, initial successes on our asset repositioning and the advancements of pending starts from our residential lands and repurposing development pipeline. On an operating basis, the third quarter reflected strong occupancies and revenues across Roseland approximately 3,900 apartment home stabilized residential portfolio. Concurrent with performance of our stabilized portfolio, in the third quarter, we had continued leasing success across three communities representing 1,042 apartment homes. These communities RiverTrace at Port Imperial, Estuary in Weehawken and the Chase at Overlook Ridge for on average 87% lease at quarter end compared to 56% lease to one quarter ago, representing 325 apartment homes of new lease activity in the third quarter. Importantly, these strong absorption levels were accomplished at Port Imperial and Overlook Ridge Master Plan communities where the company projects its 280 apartment home lease of commencement as well as new construction starts in 2015. Further, subsequent to quarter-end the RiverTrace and Estuary lease ups caused the 95% lease threshold and we anticipated the chase will achieve a similar result in early 2015 as well. At quarter-end Roseland has approximately 2400 apartment homes across eight communities in construction. These communities located entirely in the Northeast corridor between Washington DC and the Boston waterfront represented approximately $920 million in total developments activity. This activity is projected to generate approximately $61 million of stabilized NOI producing an unlevered yield across this portfolio of approximately 6.75%. Subsequent to quarter-end, three communities representing 544 apartment homes from this active construction portfolio commence leasing activities including RiverPark in Harrison, New Jersey, administered reference to the ground raking, the portside appear one on the East Boston waterfront and Estuary Phase II on Weehawken waterfront. Furthermore, in 2015 we forecast delivery of two additional communities comprised of 657 apartment homes in the first quarter and one additional community representing 311 apartment homes later that year. Moving to our future pipeline through year-end 2015 from the development pipeline, we currently own or have under contracts, we are projecting seven construction starts. This construction start activity includes five communities representing approximately 1,450 apartment homes, in addition to a 364 key hotel and commuter parking garage at Port Imperial. This next round of construction starts are projected to generate unlevered yields of approximately 7% and total development costs of approximately $550 million. In addition to construction activity from our existing residential sites, we have made material progress on repurposing of select Mack-Cali Holdings for residential development, a synergistic component of the Roseland Mack-Cali business combination. To that end, we are finalizing approvals at two municipalities in New Jersey and one town in the Greater Philadelphia region and are hopeful these activities will lead to construction starts in 2015 as well. As Mitchell referenced just shortly ago, we enhanced the Section 5 of the supplemental, a section dedicated to the residential platform highlights these activities and our former ownerships on these projects comprised of three structures. First, our consolidated developments; second, participatory joint ventures, whereby Mack-Cali invests capital on a proportional heads up basis to its effective ownership and lastly, subordinated joint ventures whereby the Mack-Cali interest is subordinated to an equity partners preferred return. Importantly, we will not pursue new subordinated joint ventures on the future development described and we will seek to amend legacy of subordinated joint venture commitments to create heads up co-investment opportunities to generate non-subordinated NOI, similar to our achievements at Marbella South. As referenced previously, in the third quarter, the company entered into an agreement to acquire our joint venture partner’s equity interest of the Overlook Ridge Master Plan community in Massachusetts with $16.6 million. The transaction increased the company’s ownership from 50% to 100% and correspondingly eliminated our joint venture partners, priority land accounts on the proposed build out of approximately 1,150 apartment homes. The transaction also increased the company’s ownership from 25% to 50% at the Chase at Overlook Ridge, a community currently finalizing its lease up. The platform is also focused on new development opportunities. To that end, we are under contract for three development sites in our core geographies representing approximately 1000 apartment homes. All have targeting land closing between Q4 and early 2015 a subsequent constructing starts shortly thereafter. Further, in the third quarter, Roseland have continued executing on its repositioning plan across many of our recently acquired assets and we anticipate this improvement activity will continue. This morning, we have highlighted a trend of continues transition of property to more valuable asset classifications within the residential development cycle. We’re hopeful to continue this trend with the stabilization of our recent assets, the complication of a reconstruction portfolio and the placement of new residential and repurchasing communities into production. Importantly, as the company accelerates this continual residential transition, the residential platform will continue to generate fee income from its construction development and management businesses. In closing, we’re hopeful for continue progress across Roseland’s multiple growth and value creation initiatives. Thank you.
Mitchell Hersh: Thank you very much, Gabe. It’s a great snapshot and summary of the activity of both what’s going on to Roseland and the multifamily side of our business. Just a few comments before we open the – for your questions. Tony mentioned the fact that our expected NOI decline in 2015 as we sit here today is about 8.6% in cash and 7.4% in GAAP. And I wanted to just comment that right now, we’ve based known move outs including Prentice-Hall, our occupancy while we expected to close the year at approximately even to where it is today at 83.7% maybe we plus or minus basis point or two as we know today that the expirations that would affect our occupancy in the first quarter would bring 15, would bring us to about 81.2% and then combine that with what we’re seeing in the second quarter down to about 80.5%. We have modeled in growing our occupancy based on the guidance that we provided today to end 2015 at 82.2% obviously I hopeful and we are focused on doing better than that, but that’s our conservative projection as we sit here today. In connection with all of that we have also modeled in to our projections about $107 million of spend on what we call non-incremental CapEx and that’s for building improvements and then allowances and leasing commissions about a $107 million for the year and that puts us at almost a full CAD payout ratio. Further, as Tony also stated at the – our projections in our modeling do not include any additional asset sales. With that, through the 15 months, which include the fourth quarter of this year and full year of 2015, our spending in connection with our multi-family and that includes URL and everything else that’s active at the moment would be about a $138 million and that’s been built into our model. And that plus the $106 million more or less in capital spend would put us on an outstanding borrowing on our line of about a $150 million15 months from now. So we have planned our balance sheet to anticipate all of the spend on both our core office portfolio and our multifamily equity requirements and I wanted to make that point. So having said that, operator, I am now going to open the floor to questions.
Operator: Thank you. (Operator Instructions) And we’ll take the first question today from (indiscernible) with UBS. Please go ahead.
Ross Nussbaum – UBS: Hi Mitch, it’s Ross Nussbaum here with Nick.
Mitchell Hersh : Hi, Ross.
Ross Nussbaum – UBS: May I can start off on the capital spend numbers that you’ve outlined for next year. I just want to clarify that is your equity contribution so that the remainder of the needs are going to be going on construction financing is how we should think about it?
Mitchell Hersh: Yeah, the equity requirements, Mack-Cali cash equity requirements would be about $39 million for the fourth quarter for the multifamily spend fourth quarter of this year and then just on our 100 million for the full year of 2015.
Ross Nussbaum – UBS : And what would be the total spend that included the construction financing?
Mitchell Hersh: It’s approximately 1.5 billion round number, but it’s close to 1.5 billion total spend.
Ross Nussbaum – UBS: Your share that you are telling no one (indiscernible) over the year here on?
Mitchell Hersh: I’ve just outlined that it’s 39 million in this quarter and 100 million throughout the course of 2015.
Ross Nussbaum – UBS: Right, but I’m trying get of the 1.5 billion total capital spend.
Mitchell Hersh: Yeah that so what we’ve already spent actually is listed in the supplemental and that’s part of that 1.5 billion and we will pull it out for you right now.
Anthony Krug: If you look on page 51 the supplemental package you will see the total estimated cost of $920 million.
Mitchell Hersh: Okay, Ross if you look at page 51 of this supplemental, you will see the total estimated cost of $919 million.
Ross Nussbaum – UBS: Yeah, got it. Okay, that’s all.
Mitchell Hersh: Okay.
Ross Nussbaum – UBS: The other question I had was on the multifamily side, is there a same store NOI growth or same store revenue growth number you can give or the stabilized communities?
Anthony Krug: It’s been approximately 3%, our portfolio is young, our acquisitions have been over the last really eight quarters and lot of within the last quarters. So we will begin overtime to produce same store in our financials. However this point in time because of the size of that same store pull because of the – due to the age of it, we don’t report it right now.
Ross Nussbaum – UBS: Thank you.
Operator: We’ll take the next question from Jordan Sadler with KeyBanc Capital Markets.
Jordan Sadler – KeyBanc Capital Markets: Thanks, good morning guys. Just a point of clarification on the last question on the billion and half, can you – what’s the difference between the 919 on page 51 the billion and half?
Mitchell Hersh: Yeah, the total of the 1.5 billion the difference between that and the 920 projects that haven’t yet commenced.
Jordan Sadler – KeyBanc Capital Markets: Okay, so including the tabs and units you’ve build into –
Mitchell Hersh: To our modeling for ’15, 2015
Jordan Sadler – KeyBanc Capital Markets: Okay, those flagged and you were in the supplemental in terms of the one that are going to commence or is there.
Mitchell Hersh: Now, they are not but, but I can past them out. I am going pass them out, but if you go page 52 of the supplemental.
Jordan Sadler – KeyBanc Capital Markets: I’m there, yeah. That’s the okay, I see it, the anticipated construction and that’s basically the total cost of that would be another 500 million.
Mitchell Hersh: That’s right, 550.
Jordan Sadler – KeyBanc Capital Markets: Okay, thanks, that’s helpful. I guess my other question was on guidance overall, it was – I have in the ridge right $1.60 to a $1.82 and I appreciate that and we had the Prentice-Hall move out which in your numbers I think with $9 million of rent, but we’ve known about this for years. The piece that I used to want to point out that the difference between consensus and the midpoint of your number on a gross basis is $15 million, my number which is not for often consensus, I had the Prentice move out. I guess what I am asking is what else do you think is in here that maybe I don’t have and I know you are not looking in my model, but what other expenses might I be missing?
Mitchell E. Hersh: Okay, well let me kind of run through. Obviously again at the risk of redundancy, the largest component is Prentice-Hall which represents 475,000 feet, $18.20 and about $4 in carry just to pay taxes and operate the asset well its standing in its current state, so you can do the math but that’s about $0.11. We do have some know move outs that will impact us certainly at the beginning of the year first quarter, I gave you the occupancy status what’s projected 81.2 in the first quarter down to what we hope is the point of inflection at 80.5% in the next quarter, but that represents a another $0.07 in income loss. We do have some operating expense increases or inflation partly due to contracts through unionization in certain sectors of operating plus taxes have got being going up real estate taxes. So that’s a $0.02, $0.03, we have the continued impact from the assets sales. We sold income producing properties which the market awarded and we did it creatively into a joint venture, so that we could recover fee income and future value and some of that fee income will offset some of these dilutions or economic losses. But the reality is we have almost a dime of continued dilution as a result of losing that income strength. Naturally it gave us the capital to fund our development program and some of our other capital needs through the company. We have some interest and other investment declines not material and some interest expense on some debt, but again not material. But then you look at adding up and you come up with $0.35 worth of deductions, now that’s partially offset by call it almost $0.20 of positives and those are interest expense savings. We’ve talked openly about the fact that we expect to pay off our unsecured note which is a $150 million January 15, ’15 expiration. It’s a 5% and an 8% note, so it’s a negative spread and we’re going to pay that off early and that should save us about a nickel. We will do that at some point in December. We have some positive FFO coming through our JVs, mostly from our stabilized assets in our Roseland portfolio. We have some fee income as I mentioned both through Roseland and some fee income that will be deriving through our KPG joint ventures. We’ve kind of reordered our G&A which is going to save us a couple of million dollars a year for sure. We’ve worked hard at reducing the expenses in the company and operating as lean and mean as we can but having the appropriate resources and we’ve had some capping of our energy. Last year was a wild time in the energy markets because of the severe cold weather and the natural gas prices on the shelf and it cost a lot of companies a lot of money that was not recoverable it cost us about a dime. Now we’ve hedged so we do in fact expect savings actually of a couple of cents and just some consolidated multifamily net income gains over resulting in more or less $0.18 to $0.20 of offset against at $0.35 loss. Now if we do better on our occupancy gains and believe me whoever out there everywhere trying to capture what the man does exist in the marketplace will do better, but this is our conservative view today.
Jordan Sadler – KeyBanc Capital Markets: It sounds you worked hard, you for what the numbers that you could achieve. I guess my other question for you would be you went through the capital plan pretty fairly, I’ve got the non-incremental spend down, I’ve got multi-family spend and it says no additional assets, but I would curious any additional investment opportunity to buy either multifamily interest or additional joint venture opportunities with Keystone on the acquisition side.
Mitchell E. Hersh: The answer to that is we did Curtis Center recently which we think is a superior accomplishment, it’s just an incredibly magnificent asset that will have a lot of opportunity with our reimagining and repurposing part of it. And we look at opportunities overtime, but as I have stated very clearly and so there is no mixed message about this. We’re not looking to buy stabilized multi-family assets, we’re not looking for negative arbitrage, we are – if something presents itself either on the office side or the multi-family side on either side of the equation that’s compelling by sale, we’re certainly going to look at it, that’s what we’re in business to do, but it’s really got to be very compelling.
Jordan Sadler – KeyBanc Capital Markets: Okay, and you wouldn’t buy stabilized unless you are buying in an additional an incremental interest in an existing with Roseland joint venture or not?
Mitchell E. Hersh: Well, the answer, the short answer is that’s not our goal. We were – I mean the average cap rate on the kind of multifamily product that we have, I’m going to say is 4.5 to 5 and office assets depending on location and quality of location is higher and whether that’s 6 or 6.6 or 7 or 7.5 it’s a negative arch and we have committed to the market that and to our own analysis that we’re not going to do that and we don’t have the flexibility of capital spend to support that kind of investment and so we’ve stated that we’re not in the market for the stabilized assets.
Jordan Sadler – KeyBanc Capital Markets: Okay, thanks for the color.
Mitchell Hersh: You are welcome.
Operator: We’ll now got Michael Bilerman with Citi.
Michael Bilerman – Citi: Great, thank you. So, Mitchell, I would echo Sir Jordan's point about sort of I can’t speak for what consensus is this but certainly we had a $1.78 also at a following numbers and the numbers still came a little bit below but think all the ins and outs that you talked about were not fully backed in. Maybe you can share a little bit about sort of the same store decrease in terms of it’s about I guess $27.8 million year-over-year clearly the Prentice-Hall the 11 million, you said there is 7 million from move outs, what are the other variables because I would have thought that the really harsh winter that affected the utilities in the first quarter, you get a positive variance, so I’m just trying to understand how the same store is such a negative decline?
Mitchell Hersh: Well, once again, half of it more or less is Prentice-Hall. So we – so that kind of brings your number down to 4 or 5 negative once you take that out of the equation and the rest of it is primarily, I mean, you have some expenses and some increases but you have move outs loss of income on the occupancy numbers that are reflected and slight increases and forebode operating on the assets that’s quite happened and lost the income. So the combination of all that unfortunately results in the numbers that we’ve presented in the continued downward pressure on the NOI, I’m hopeful that we’re certainly taking out the Prentice-Hall from the equation that we’re narrowing the gap and we’re going to see a point of inflection where we’re no longer going to have at least no longer have material NOI erosion same-store and all things same store anyway at this point and moving into 16.
Michael Bilerman – Citi:  Right, but if it’s 27 million, 28 million and Prentice-Hall less of 40% the decline?
Mitchell Hersh: Yeah, well, right now -- let me run through some of the – we have a situation in asset in winter then it’s more of the mortgaged assets, I don’t know how it ends up but it’s a 83,000 foot tenant Sony that needed half the space and they moved to another building because we couldn’t even work with them given the fact that, that building was one of the Gail assets that had securitized, A securitized loan on it. We have a couple of known move outs in Princeton, the general Princeton market that are 120,000 feet in total and another 60,000 or 70,000 that we know about right now in the first quarter of expirations with known move outs throughout various locations in the portfolio. And similarly in the second quarter now, we have 90,000 foot move out but I’m hopeful that we have a replacement tenant for it but it’s still we’re only to tell for sure, so we’ve built it into our modeling as a move out. So these of kinds of and they are fairly chunky tenancies that with model then the loss of income. We’re really hopeful that in all our part we can rebuilt through new leases, but we know that our current tenants have leaven.
Michael Bilerman – Citi:  Okay, of the $550 million of the 2015 starts and looks at we look on page 52, most of those are 100% on project, of that 550 what is your share and what level of construction financing do you have the fund that in place?
Anthony Krug: Yeah, it starts just 52 outlines what those starts are, so I think that’s pretty clear. Our expectation is that on the total cost of the project regardless of our ownership percentage were 60% to 65% loan to cost financing and construction loan and then it varies based on our percentage of interest as to our equity component which I had laid for you in 39 million for the rest of the year and the 100 million through 2015, that 100 million corresponds to the list on page 52.
Michael Bilerman – Citi: Right, but some of that is like spend all the capital in 2015, so I what I just trying to understand is –
Mitchell E. Hersh: That is what we anticipate spending in 2015.
Anthony Krug: But I – I was just thinking about it more stuff in my capital investment of the company started and you’ll have much further capital we spend to finish those project pass 2015, so I think we’re just trying a understanding of what that total committed capital will be, so if the project is 550 in aggregate it’s 206 million of equity at a 100% share. You are spending about a 100 and, yes.
Mitchell Hersh : Yeah, but – okay, so right now on the 550 million that make up the difference between the 919 and 1.5 billion, our commitment to date is 58 million.
Michael Bilerman – Citi: Okay. And then I think Gabe talked about three projects where you can develop about a 1,000 units. Those would be separate from these land holdings. Those are future adds to the pipeline and what would be the cost of that land and when you do anticipate to start?
Mitchell Hersh: We have – depending on capital flexibility, I’ll call it, we have a project in Freehold. We have a project in Conshohocken that will be ready to go representing those units.
Michael Bilerman – Citi: But this is land doesn’t yet in the company, so three purchases you are going to make?
Mitchell Hersh : Conshohocken is an imminent purchase. We’ve cleared all of the issues, the approvals, et cetera. It’s a $14 million land acquisition. Freehold is very, very close to that point in time that will be about $15 million or so in land acquisition, maybe 18 million. So those are imminent, we would acquire the land fully approved and probably we’ve listed those as 2016 starts.
Michael Bilerman – Citi: And that’s out of the capital spend you’ve talked about before that’s just.
Mitchell Hersh : Yeah, that’s all included in the $138 million.
Michael Bilerman – Citi: Oh, in the 138, is this 32 million for these two sites and is there third site?
Mitchell Hersh : Yeah, if you look in, again, on page 52 you’ll see Worcester, Massachusetts that’s a 100% Roseland Mack-Cali, it’s a – we projected it as a third quarter 2015 start. It’s not a big number in the land, it’s a $4.5 million spends and it’s included in the 138.
Michael Bilerman – Citi: Okay, fine, thank you.
Mitchell Hersh : You are welcome. Thanks.
Operator: Our next question will come from Vincent Chao with Deutsche Bank.
Vincent Chao – Deutsche Bank: Good morning, everyone. Just curious absent to Prentice-Hall move out in terms of you talked about a number of move outs across the course of the year, just curious the 56% retention ratio that you reported this quarter, is that ballpark is good number to think about for next year?
Mitchell E. Hersh: So let me say this – that 50% of the 2015 lease expirations are vacates.
Vincent Chao – Deutsche Bank: Right.
Mitchell E. Hersh: So that give you sense that yeah would be in that retention range, we hope to equal it at 55% or to better.
Vincent Chao – Deutsche Bank: Okay, and then just thinking about your comments about CAD coverage being pretty much 100% it’s out of like roughly for ‘15, as you look at to ‘16 I mean it does, does it get much better at that point or it just really just to say.
Mitchell E. Hersh: Well, it’s Vincent too early to say. As I indicated to you, we’re very, very hopeful that this 2015 has a pivotal transformational year a point of inflection where occupancy improvement. And you know one additional fact is the waterfront and urban areas in general but certainly the waterfront, we’re seen a lot of activity. We have some significant vacancy they are particularly in Harborside classes two and three and some significant vacancy in 101 Hudson. I mean we’re talking about 800,000 or 750,000 for the vacancy. Now we’re reimagining the space in Harborside, which represents more of half of that, now Morgan Stanly and Credit Suisse stays primarily. And we’re seeing some very good activity and you’ve read about some of it with the financial service industry looking at consolidation and cost saving and the appeal of the grown New Jersey and as of right incentive program. I’ve personally been attending a number of broker events last dinners this week with the New York Centric Brokerage Community who the trend over cram of the brokerage community quite frankly you confirm that these firms that are out there with these larger requirements the 300,000 to 500,000 requirements are very seriously engaged with looking at the incentive programs because they need to cut their costs and while less of them might like to stay in different parts of Manhattan and move to the Hudson yards and et cetera, there may be other limitations imposed upon them. So we haven’t really built in and out any sort of exponential performance of the Waterfront but I think it’s a hidden jewel at this point that could certainly be a benefit to us.
Vincent Chao – Deutsche Bank: Okay. Thank you.
Mitchell Hersh: You are welcome.
Operator: Next is Jamie Feldman with Bank of America-Merrill Lynch.
Jamie Feldman – Bank of America-Merrill Lynch: Great, thank you. I guess sticking with the waterfront, I mean, we’ve clearly been hearing a lot about leasing activity, a lot of government incentives there. Can you guys just talk about what your leasing pipeline does look like for the Waterfront?
Mitchell Hersh: Well, I would say it’s several million square feet. We have a, what I would view as a very serious tour tomorrow for a 450,000 foot requirement. It’s hard to know some of these – some of these perspective tenant have couple of year remaining on their lease, in some incidences just enough time to build whether it’s in New York City or its Plaza 4 in Jersey City at our harbor side, it’s just enough time to build. And a couple of other cases, they don’t have that much time. So they need to look at existing inventory. So I would say it’s between a million and 2 million square feet. The question is, is it one that’s really based on cost and one more thing that it should be particularly when you have such a high quality asset and emerging live work play environment like we have in our present standard the waterfront Jersey City with the residential component and the retail that we’re going to be including and the reimagined arcade and dining facilities as well as our hotel et cetera. So -- but the – so companies once again, we haven’t seen this in a couple of years, are out in the marketplace because of looming expirations to determine what their future is. And New York, for whatever towards has come out somewhat openly and stated that they are providing incentives. Whether that’s true, I don’t know. But at the moment they say publically they are not providing incentives in New Jersey, it’s all as of right under the grow New Jersey program. So that’s what I can tell you. It’s encouraging to see the activity level right now.
Jamie Feldman – Bank of America-Merrill Lynch: And then what do you think of as your competitive, what’s the competitive vacancy there that you guys are competing with?
Mitchell E. Hersh: Not a lot the – I mean the unknown vacancy sort of the shadow vacancy is Goldman Sachs building which has fit out space and it’s in appealing space, it’s more expensive, so we’re more competitive economically, but they were able to do the RBC deal and so that’s kind of shadow inventory that one would never had expected, but outside of that there is some space in 90 Hudson, 70 Hudson and a little bit in Newport but I don’t think right, I think right now if there is significant demand in these larger space requirement categories were in a very good position.
Jamie Feldman – Bank of America-Merrill Lynch: Okay, and then moving on the numbers, I mean we’ve fairly seen that U.S. markets been recovery down the year, the markets gets slower to recover, are you guys seeing any pickup but what is leasing pipeline look like for your suburban assets?
Mitchell E. Hersh: It’s -- I stated in my remarks Jamie, I wish you want so but it is, it’s been a lot of headwinds New Jersey you’ve seen some macro reports recently done by various think tanks is not doing so well in creating new job certainly in comparison to some of our adjacent locations and Massachusetts as another one that’s made more progress particularly in biotechnology and pharma. So New Jersey clearly has to do better and so from the demand side of the equation, we haven’t see the kind of vibrant that we would hope to have seen by this point and the economic recovery. And as I mentioned unfortunately this is a fair amount of inventory, some of it’s controlled by banks and winding institutions at this point, but nonetheless it creates competitive certain even existing tenants who hire their professional representatives go out and scout the marketplace and see what’s available and it put pressure on the economics of transactions. So New Jersey has a ways to go, but clearly some of the I think more multi-tenant facilities will continue to have some resilience certainly with the ownership manpower of Mack-Cali and our reputation and our brand and our capital wherewithal, will capture our share. I think you will see some more of the large corporate headquarters. There’s been a lot of press (ph) about this that there are no five, six foot tenants that are expanding in the Jersey marketplace and that’s putting a lot of pressure on the municipal governments to think more smartly about the future because you just can’t backfill these buildings that were built in a different era in a different – and companies were using space in a different way back in the ‘70s and ‘80s. So the market frankly has been a challenge and we see that in a lot of suburban locations. We see it in Westchester. We have the sort of the largest presence in the flux space in Westchester. So we – that’s offset some of the difficult headwinds in the Westchester suburban office markets, but we sold some of that product. I was part of that final tranche of closing with Keystone in some of the proved office assets and nearby, so – but that’s the story right now. So Jersey is sort of not recovered in sync with the overall economic recovery in job. It’s one of a few states that hasn’t regained all of the jobs lost in the financial crisis meltdown of 2008 into 2009.
Jamie Feldman – Bank of America-Merrill Lynch: And it’s helpful and then just last. So if you think about the vacancy you’ve mentioned today beyond Prentice-Hall, some of other hits of portfolios going to take in 2015? Where are those tenants going? Are they – you’re losing out other assets that are more aggressive? Are they downside?
Mitchell Hersh: No, we don’t lose any deals because – we certainly don’t lose any of our existing tenants because other landmarks are more aggressive. I mentioned in the case of one tenant in a mortgaged asset where the mortgagee didn’t – it’s a CMBS loan held by a special servicer and they didn’t want to talk about restructuring. They just wanted to preserve the existing collateral until the expiration of the lease, which now is right in front of them and whatever will happen with the asset will happen, but whatever value they could have preserved they chose not to because there is not really a principle very special servicer. In the other cases – for example, pharmaceutical company in Princeton of 50,000 square feet, that’s a first quarter 15 move out. They were one of the few pharmaceutical companies in the state that have expanded and actually built their own headquarters building to accommodate this space that’s located in our college road building. So that’s what’s happened with them. And the others are either contractions, where they’re being absorbed into other space that’s either owned by the entity or the restacking is not practical from their perspective or their business models have just changed. But we are extremely competitive in the market place and we’re well respected and well liked by the brokers community because they know that is money good with us and that we will do what we say we will do, which is – helps them with their relationships with the tenants they represent as well. But business is changing and we’re changing with it and unfortunately there is a period of transition associated with that.
Jamie Feldman – Bank of America-Merrill Lynch: Okay, very helpful. Thank you.
Operator: And the next question from John Bajani with Green Street Advisors. Please go ahead.
John Bajani – Green Street Advisors: Good morning, everyone.
Mitchell Hersh: Hi, John.
John Bajani – Green Street Advisors: Mitchell, are there any large known office move outs beyond 2015 that you can highlight?
Mitchell E. Hersh: ’16 is a much quieter year in terms of expirations.
John Bajani – Green Street Advisors: Okay and then a couple higher level questions. So it’s been about two years now since the Roseland acquisition and you guys have built on the platform, improved your property level disclosure, but your stock is still trading at a massive discount, so what I think is you’re underlining the assets are you? We previously suggested that you thought the stock is discomfort in the multifamily opportunities misunderstood, do you still feel that’s the case and what do you and the board feel needs to be done looking forward to close the valuation gap?
Mitchell E. Hersh: We do feel that the stock trades at a significant discount underlining value. We’ve enhanced that our communication – if that’s the right word, with the market place by improving our information to fuller disclosure in our sub so that the metrics are kind of right there for the analytic community to be able to determine a net asset value for the company much more easily. We’ve remained focused and on message with respect to the following. Preservation of our balance sheet flexibility, not over stressing our balance sheet, we sold the assets to fund our activity, as I said you can’t have it all, so if you’re going to sell some assets, we did it in a, what we believe a very creative way in providing some future optionality for us, but you lose the cash flow and that – and you suffer some dilution as a result of that. So we’ve sold what we’re going to sell. We’re modeling in no addition sales in the numbers that we’ve presented and so you’ve got the balance sheet flexibility. We reduced our dividend to provide another $60 million in capital availability to the company. We’ve kind of normalized our dividend to a distributable amount under the reveals closed 90% but really 100% of your taxable income distribution, so that at $0.60 a share on an annual basis is more normalized right now. We’re going to build out our development pipeline both in URL and through our Roseland pipeline with the defined list as you see in our filing and as we’ve discussed today. And when those assets come online in the next two years and hopefully it will be a continual (ph) development after that with all these fabulous sites that we own and control subject to capital availability that the income stream from the Roseland platform will be a more meaningful contributor to the company. We are not using our precious capital to buy back stock, we – and once again redundancy, but I do support and the board supports the notion that we’re undervalued and that’s what I can tell you at this juncture.
John Bajani – Green Street Advisors: Okay, that’s helpful. I guess one follow on question on asset sales. I think you’d previously talked about selling a couple of assets in BC, is that completely off the table now or what’s going there.
Mitchell E. Hersh: Yeah, we haven’t built in any additional asset sales in the current modeling.
John Bajani – Green Street Advisors: All right, thanks.
Mitchell E. Hersh : Thank you
Operator: And that will conclude our question and answer session for today. I would like to turn the call back to Mr. Mitchell Hersh for any additional or closing remarks.
Mitchel E. Hersh: Well, thank you. I do want to thank everyone for joining us today. I know that we had a fairly full list of participants in this call and I hope that we’ve been informative and helpful to you. We look forward to seeing many of you at (indiscernible) in the coming weeks and then reporting to you again in the New Year. Thank you again and have a good day.
Operator: Thank you very much. That does conclude our conference call for today. I’d like to thank everyone for your participation.